Operator: Welcome to the Kandi Technologies' Third Quarter 2017 Financial Results Conference Call. As a reminder, all participants are in listen-only-mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions]. I would now like to turn the conference over to Ms. Kewa Luo, Manager of Investor Relations. Please go ahead.
Kewa Luo: Thanks, operator. Hello, everyone and welcome to Kandi Technologies Group third quarter 2017 earnings conference call. The Company distributed its earnings press release earlier today and you can find a copy on Kandi's website at www.kandivehicle.com. With us today are Kandi's Founder, Chairman and Chief Executive Officer, Mr. Hu Xiaoming; and Chief Financial Officer, Mr. Bing Mei. Both will deliver prepared remarks followed by a question-and-answer session. Before we get started, I'm going to review the Safe Harbor statement regarding today's conference call. Please note that the discussions today will contain forward-looking statements made under the Safe Harbor provisions of the United States Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's results may differ materially from the views expressed today. Further information regarding these and other risks and uncertainties is included in the company's annual report on Form 10-K for the fiscal year ended December 31, 2016 and in other documents filed with the U.S. Securities and Exchange Commission. Kandi does not assume any obligation to update any forward-looking statements except as required under applicable law. As a reminder, this conference call is being recorded. In addition, an audio webcast of this conference will be available on Kandi's investor relations website. I will now turn the call over to Kandi's Founder, Chairman and CEO, Mr. Hu Xiaoming.
Hu Xiaoming: [Foreign Language] Hello to all shareholders, friends and all the participants. Thank you for joining our third quarter 2017 earnings conference call today. We will discuss our third quarter financial results of 2017. [Foreign Language] In the third quarter we had total revenues of $28.4 million, 345.4% increase from the same quarter last year and EV part sales was $27 million, 473.2% increase from the same quarter last year. [Foreign Language] We're very pleased with our solid business performance in the third quarter, the production and sales of EV products by the JV company have increased significantly year-over-year as the JV company has resumed the normal production and sales. Due to confusion surrounding the reusable battery exchange model our business have been heavily impacted since last year. We have been working diligently since then to overcome the difficult time and turn it into a great success. [Foreign Language] This quarter is a turning point in a exciting for Kandi as the company continues preparing for the tremendous opportunities available in the renewable energy industry. We remain confident in our ability to continue to successfully execute our long-term business plan and regain our leading market position in the EV industry in the near future. Now I will turn the call to our Chief Financial Officer, Mr. Bing Mei, to give you more details on our financial highlights.
Bing Mei: Thank you, Mr. Hu, and hello to everyone on this call. Now I would like to provide a brief overview of our financial results for the third quarter of 2017. Please note that all numbers I will discuss today are in the U.S. dollars unless otherwise noted. First, let me walk you through third quarter financial results. Total net revenues for the third quarter were $28.4 million, an increase of 345.4% from $6.4 million for the same period of 2016. The increase in revenues was mainly due to increase in sales volume. EV parts sales were approximately 27 million for the third quarter of 2017 or 95.3% of our total net revenue an increase of 22.3 million or 473.2% compared with the same quarter of 2016. Our cost of goods sold was 23.5 million during the third quarter an increase of 311.6% from 5.7 million in the same quarter of 2016. The increase was primarily due to the corresponding increase in sales, resulting from increased demand for our EV parts from the JV company. Gross profit for the third quarter was $4.8 million, an increase of 642% from $0.7 million for the same quarter of 2016. Gross margin increased to 17% in the third quarter from 10.2% in the same quarter of 2016. Margin increase was mainly due to the decrease of raw material purchase price, increase of production line personnel productivity and the using less expenses for the same [quarter] [ph] new raw material to cut cost. Total operating expenses in the third quarter was $3.1 million compared with $1.3 million in the same quarter of 2016. The increase in total operating expense was mainly due to an increase of $1.8 million in G&A expense in this quarter. Net income was $1.9 million in the third quarter, an increase of $2.5 million compared to a net loss of $0.6 million in the same quarter of 2016. The increase was primarily due to significant increase of revenues and the gross profit this period as compared to the same period of last year. Non-GAAP net income in the third quarter was $3 million, an increase of $4.7 million from $1.8 million of non-GAAP net loss in the same quarter of 2016. The increase was mainly due to the significant increased revenue and the gross profit in the third quarter of 2017. Let me touch on the JV company's financials now. For the third quarter of 2017, the JV company’s net revenue was $86.2 million compared to $11.7 million in the same quarter of 2016. There were 6,765 units of EV products sold including 2,747 units of K17 and 4,018 units of K12. Net loss was $0.5 million compared to $0.4 million in the same quarter of 2016. We account for our investments in the JV company under the equity method of accounting, as we have a 50% ownership interest in the JV Company. As a result, we recorded 50% of the JV Company’s loss for $0.2 million for the third quarter of 2017. After eliminating intra-entity profits and losses, our share of the after-tax profit of the JV Company was $0.4 million for this quarter. Next, I will review the company's cash flow. For the nine months ended September 30, 2017, cash used in operating expenses was $0.7 million, compared to $22.5 million in the same period of 2016. The major operating activities that provided cash for the nine months ended September 30, 2017 were a decrease in advances to suppliers and the prepayment in the prepaid expenses of $23.9 million and the increase in accounts payable of $53.1 million. The major operating activities that used cash for the nine months ended September 30, 2017 were net loss of $33.8 million, an increase in amounts due from the JV company of $33.1 million and an increase in long-term amount from JV company of $2.9 million. Cash provided by investing activities for the 9 months ended September 30, 2017 was $8.4 million, as compared to $7.8 million for the same period of last year. The major investing activity that provided cash for the nine months ended September 30, 2017 was the decrease in restricted cash of $5.9 million and the decrease in short term investments of $4.6 million. The major investing activity that use the cash for 9 months ended September 30, 2017 were $1.6 million of a purchase of construction in progress. Cash used in financing activities for the 9 months ended September 30, 2017 was $16.7 million as compared to cash provided by financing activity of $2 million for the same period of last year. The major financing activity that provided cash for the 9 months ended September 30, 2017 were proceeds from the notes payable of $13.4 million and proceeds from short term bank loan of $24.9 million. The major financing activity that use the cash for 9 months ended September 30, 2017 was $28 million after the payments of certain bank loans and $14.1 million after the payments of the notes payable. That's it from me. Kewa.
Kewa Luo : Operator. We are ready take some questions.
Operator: Thank you. We will now begin the Question-and-Answer Session. [Operator Instructions]. Our first question comes from Dr. Robert Lambert who is a Private Investor. Please go ahead.
Robert Lambert: Good morning. Congratulations. A lot of the things you've told us are happening and it gives me great confidence when I see management buy shares of stock in the open market. Mr. Hu, will you buy more shares when you're allowed as far as when you're allowed to buy stock in a few weeks? Thank you.
Hu Xiaoming: [Foreign Language]. Buying shares is my personal behavior as you can see I have bought some shares in the past. This is a strong indicator of my confidence in the company’s future. If I plan to buy more shares in the future I will definitely update the market via filing the form four with SEC and you will find out.
Operator: Our next comes from Steve Miller, who is a private investor. Please go ahead.
Steve Miller: It’s gratifying to see the report out this morning. I have two questions, the first one is can you give us an update on further subsidy payments, specifically how much is still owed the JV for the year 2015 and also the year 2016 and is there any new estimate as to when those payments might be received, and then finally related to that does the JV have sufficient credit facilities to continue with the growth while waiting for those subsidy payments?
Hu Xiaoming: [Foreign Language] Okay thank you. As of today, the JV company has received central government subsidy of in total RMB 1.36 billion approximately, $204 million, there are still about RMB 834 million approximately a $125 million to be received for the EV sold of which RMB409 million approximately $61 million for 2015 and RMB425 million approximately $64 million for 2016. With respect to when exactly we will receive these payments for 2015 and ‘16, it’s really difficult to say. And government can start paying really like very soon but also can drag for very long, especially right now we are in the [Xianjing][ph] leadership period. So, it’s hard for me to predict. But we believe that it’s JV Company existing financing channels and good credits, especially we have Geely as the partner, the JV Company is able to raise the necessary working capital to support its future business development.
Steve Miller: Great. Thank you, Kewa. And then my second question is the share price took a severe drop after the company recently announced a shelf registration and even more so took a drop 10 days later when it got cleared by the [SEC] [ph]. The drop according to Kandi detractors was that there was going to be an immediate share dilution that looks to happen. Is that true? And if not, why was the S-3 shelf registration filed at this time?
Hu Xiaoming: [Foreign Language] Okay. The S-3 registration was due to the fact that the previous S-3 which we filed, I believe in 2014 that just expired in August. So, the management team believes that it’s a normal operational practice to renew the S-3 registration. I believe that capital market should understand about this. The company currently doesn’t have any financing plan. So, I don’t think it’s going to dilute our shares, the prediction is not true.
Steve Miller: Fantastic, Kewa. And on behalf of the 2,000 members of the Kandi Private Group, thanks again for that kick ass earnings report this morning. Thank you.
Operator: Our next question comes from Mr. Ted Schwartz of TAS Associates. Please go ahead.
Ted Schwartz: Hi, Kewa. I have two questions. The first one is in reference to a recent China Media article about a major Kandi CarShare expansion into the 7 million population city of Nantong with a lot of pictures, most of the pictures were red K12s compared to the normal CarShare green and white colors. Is there any significance to the changing on the CarShare colors, any other major CarShare expansion cities expected this year and how come that was not -- the expansion of the CarShare program wasn’t put out in a press release?
Hu Xiaoming: [Foreign Language] Zhejiang ZuoZhongYou, ZZY Electric Vehicle Service Company is an independent legal entity, although both Kandi and Geely own 9.5% stake in the company, ZZY is not wholly owned subsidiary after all. We are very happy to see their development. Different colors for the vehicle are designed to attract different customers. In recent years, CarShare’s economic model has enjoyed rapid growth in China, the CarShare is one of the front runners and a leader among many. We believe that the CarShare will have remarkable future for growth. In the past we have announced in the extension of CarShare program into the Tier 1 and Tier 2 cities, we don’t feel it’s necessary to announce each footprint to Tier 3 and Tier 4 cities because they are not major cities. Thank you.
Ted Schwartz: Thank you. My second question, in the last conference call, Mr. Hu indicated that they expected to breakeven for the year exclusive of the R&D expenses. I noticed that the R&D expenses for the nine months is roughly $26 million, it was around $20 million in the first quarter, about $5 million in the second quarter, third quarter was down to around 600,00 that comes to roughly $0.50 per share. For the first six months the company lost $0.75 a share. If he is going to breakeven for the year he now earns $0.04 for the third quarter that would indicate that he expects to earn somewhere in the neighborhood of $0.20 in the fourth quarter. Does he still expect to be even for the year exclusive of that R&D expense? And by the way the R&D expense is to some extent or to a large extent reimbursed by the government of [Hainan] [ph] because it's mostly I presume for the K23. I know it's a long question but…
Kewa Huo: [Foreign Language]. Thank you for your question. I think I wasn't very clear in the last conference call. What I meant is that the normal operations will be breakeven. With regard to the research and development expenses we'll have a different way to evaluate that. Mr. Mei, if I haven't clearly stated please add your comments.
Ted Schwartz: Okay, congratulate Mr. Hu on a excellent turnaround and I look forward to significant increases in the future. Thank you Kewa.
Operator: Our next question comes from Arthur Porcari of Corporate Strategies Incorporated. Please go ahead.
Arthur Porcari: The Kandi JV website and other media on October 24 announced another large strategic agreement between Kandi JV and [indiscernible] automobile service company. It appears to cover to about 30,000 EV for Kandi sales over the next three years, this is similar I think to two major multiyear sales agreements from a prior year paying over 60,000 EV over I think six years and [indiscernible] over 50,000 over 5 years. Can you give us update as to the status of each of these deals, it seems the total value alone approaches $2 billion and I have a couple of follow ups?
Hu Xiaoming: [Foreign Language] Go ahead.
Arthur Porcari: We got an answer to that part okay, well could you tell us about that agreement and give us an update on [Foreign Language] and why wasn’t this announced?
Hu Xiaoming: [Foreign Language] And the corporation with [indiscernible] as to help the JV company to accelerate the production growth and expand a sales self-channel. We believe it will be very beneficial for the JV company future development. With regards to allotment. [cost] agreement and these two are our very important partners because our portfolio didn’t round up normal production and they have not been any significant progress in the first half of the year and starting the third quarter as we have resumed the normal production in sales as expected to make some progress going forward and I promise I will keep them mostly updated once this happened.
Arthur Porcari: One last little quick follow-up on that. Is it realistic to expect that by next year when things are normal that we could be back on track for like 10,000 cars for each of those three contracts for a total of maybe 30,000, just in those three agreements? Is that realistic to expect for next year?
Hu Xiaoming: [Foreign Language]. We’re trying our best, but because these three agreements are framework agreements. So, it will depend. Please stay tune and follow our quarterly report for more update.
Operator: Our next question comes from Walter Hill of Carty & Company. Please go ahead.
Walter Hill: On the last conference call, in an answer to a question, the company seemed to agree at a reasonable target for the 2020 sales would be around 200,000 EV units or about half its current capacity worth over RMB3 billion in annual revenues. Has anything fundamentally changed alter this company goals?
Hu Xiaoming: [Foreign Language] We are working very hard due diligently plan the company’s gross strategy for the next few years. China’s EV market has full potential. We hope to take advantage of this opportunity to breakthrough and increase our market share. This will enable the company to come a long way and give back our long-term shareholders with the strong base results. So therefore, we still remember confident to achieve the target.
Operator: Our next question comes from Frank Vladermann, who is a private investor. Please go ahead.
Frank Vladermann: Yes, good morning. First of all, congratulations on an absolutely great quarter. I have three very short questions on the Hainan Island factory. As the assembling line being completed, the strong production underway and its full production for the K23 still slated to start in January?
Hu Xiaoming: [Foreign Language] Okay. At present, the construction of the Hainan factory is at very last stage and the second round of prototype production has now been completed. The third-round prototype production has started in November, it’s expecting to send the qualified prototypes to the National Testing Center for testing in the next few months. Once the prototype passed the test, it is ready for trial production. On the K23 model sales, will be opened to multiple markets.
Frank Vladermann: Well, that’s good news and you also answered my third question. So, I’ll just provide my second. When will Kandi get the last $14 million cash grant portion of the $45 million from the Hainan government?
Hu Xiaoming: [Foreign Language] The final payment for the government subsidy is expected to receive after the model K23 start its production.
Frank Vladermann: Okay. And just another real quick. Are you going to be doing any export of this vehicle to countries other than China or the multiple markets refer to, nearly Hainan along with other provinces in China?
Hu Xiaoming: [Foreign Language] We do plan to sell the K23 to China, to all the markets in China, also partially exporting K23 to overseas because K23 is considered to be very proactive car and there are a lot of good things about that people really like it.
Operator: Our next question comes from Lee [indiscernible] who's a Private Investor. Please go ahead.
Unidentified Analyst: My question is about the K22 and K27. Recently we have seen some China Media articles about the [indiscernible] facility where K12 is made. And last week the ministry announced the approval of a new Kandi model K22 which is assumed to be an upgrade of K12. While this car was not announced. Although the K27 which is an upgrade of K17 it was announced by the company. [Foreign Language].
Hu Xiaoming: [Foreign Language] Okay well thanks. I'm very glad by you asking question. I can see that you are very detail oriented. In the newly released K27 news, because the reason we didn't announce the K22, because the K22 only received the new product to approval. It hasn't received the recommended model approval in the tax redemption. So that's why you only have K27 model that is being released in the press release because K27 received both recommended model directly in the tax redemption.
Unidentified Analyst: Thank you. I have a two more-quick follow up questions. First one is about the motor power this two cards. So, in the recent company release on K27 it says the motor power increased by 6 kilowatt which should account as should have been from 25 kilowatts to 41 kilowatts it is 17% in increase, our China media it shows for the K22 model the power increased to 49 kilowatts, because K12 has a power of 35 from 35 to 29 kilowatts it is an increase of 40%, which is very positive, can you please explain this. [Foreign Language].
Hu Xiaoming: [Foreign Language] This is a great question thanks for asking such a detail question, I can see the rate into our new very carefully. In the K27 news, the mode of power increased by 6 kilowatt compared to the K17, which is referring to weighted power I guess to say that clearly in the press release but the model K22 coverage in some of the China media, they what they mean is the peak power which is 49 kilowatts for the mode of power, so the original ready power for both parts are is 15 and the peak power for the original model is 35, so they both increased to the peak power 40, 49. We have never announced 41 so I guess that’s the miss understanding the media has over these car.
Unidentified Analyst: Thank you and another question is about the price tag of these two cars, so how much that JV receiving from the CR of each K22 and K27? So, are they ready for immediate production? If so we are really pleased of this along with the current K12 and K17 models. [Foreign Language].
Hu Xiaoming: [Foreign Language] Both the models K22 and K27 have been upgraded based on the model K12 and K17. The upgraded models have better performance, and obviously they can save more power by 5%. So, they can generate better profits. For example, these two upgraded models stay longer range by less batteries. And right now, the Geely company is manufacturing K22 and K27 and gradually we’re replacing K12 and K17. They are not going to be sold at same time. So once the K22 and K27 kicked in, the K12 and K17 won’t be sold anymore.
Unidentified Analyst: Very quickly. So, since Ms. Hu mentioned about the traveling distance per charging improved, so what are the numbers? [Foreign Language].
Kewa Luo: [Foreign Language]. Mr. Hu was saying that above 150 kilometers.
Operator: The next question comes from Michael Fairnow of Focus Tech Investments. Please go ahead.
Michael Fairnow: Yes, good morning and very good quarter. In the first quarter of this year, the company announced development of a new more powerful EV motor. I’ve got kind of a two-part question. Is this motor being used currently in the K27 and is it also being used in any other production by Kandi? And if so, why was this not more clearly delineated in the original announcement?
Kewa Luo: I’m sorry. Can you repeat again, the phone was skipping?
Michael Fairnow: In the first quarter the company announced the development of a new more powerful EV motor and it was also projecting sales in the second half of this year of about 20,000 units. My question is, is this motor currently being used in the K27 or any other Kandi models? And if so, why was this not better explained originally?
Hu Xiaoming: [Foreign Language] Hi, the new model will be started in both model K27 and K22. The reason we didn’t explain in the press release is, I don’t think this is something material I should announce because once this is announced, the motor is going to be installed in the -- our latest EV, so if I announce that again it didn’t seem to be a very material event.
Michael Fairnow: Thank you. I’ve got another follow-up clarification. On this new EV motors, does Kandi expect the sale of any third-parties and also related to the parts sales, can you give us an estimate of the average total parts sales for/per EV, round from Kandi to the JV?
Hu Xiaoming: [Foreign Language] Can you repeat the last question, you want to know…
Michael Fairnow: Yes, the first question was, are there new EV motors expected to be had any third-party sales? And the follow-up question, can you give us a little more detail on the average sales price that Kandi realizes to the JV as average per vehicle sold by the JV what is the average receipt of the parts that can the receipts.
Kewa Luo: Okay all parts or just the motor?
Michael Fairnow: Well that for EV motor as well as other parts?
Hu Xiaoming: [Foreign Language] So far, the motor is for the JV company's models. So, we're also trying to expand the market for the motor to be sold to the third party. So, for now it's only for JV company, if we expand it to other for some of the third parties we will either mark it now. As far as how man Kandi can receive from a JV by selling the parts it's really hard to say because during the different period, different volume the cost and the sale price will be different. It's really hard for me to tell you a number. I will recommend you to rely on our quarterly financial report for more details. If you ask me the exact number right now as I have to say I could give you an exact number.
Operator: The next question comes from Mark [indiscernible] of TANP Investor Managers. Please go ahead.
Unidentified Analyst: Yes, good morning, Mr. Hu and good morning Mr. Hu, Mr. May and good morning Kewa. On the last we see the answer on the question the company seemed to agree that the reasonable target for 2027 will be around 2000 EV units or about half of the current capacity well over $3 billion in annual revenues. Is that anything fundamentally changed to [all the disclose]. And can you please tell us how many EVs we sold in October, roughly. And what kind of goal would you have the rest of the year this fourth quarter?
Kewa Luo: Okay the first part of your question we answered earlier, but I can repeat that question to the management team again. [Foreign Language]. As I said your second question that is about October sales number right.
Unidentified Analyst: Right and then the fourth quarter any suggestion for the fourth quarter so far, what do we expect the company will do for.
Hu Xiaoming: [Foreign Language] Okay, to answer your first question just, the [earlier] we still remember confidence you achieve that project but we’re trying our best and for October since we have seven-day national holiday the self-number is a little bit over 3000 it’s a rough number and for the fourth quarter self-target I will leave it to you to wait for our annual report for our 10-K. I apologize I don’t think that it's good to announce this earlier about our fourth quarter sales number.
Operator: Our next question comes from Carl [indiscernible] Consultant. Please go ahead.
Unidentified Analyst: My question is that from the China media those who know how to use Google translate seemly have an unsaid advantage over most of the shareholders regarding monthly EV sales published in China by the automobile association, while the company did announce August sales to shareholders it did not announce September sales which was first sales month ever, since the information is selectively available to the public anyway in fairness to all shareholders why doesn’t the company start reporting sales like most car companies, for instance [Soul] a major website in China published 3,100 sales of EV for October, why are we not allowed to have that information as a timely SEC filing. I think it’s a material event.
Hu Xiaoming: [Foreign Language] In the past, we never had this routine to release monthly sales figures. In August, we released a sales figure because it’s our turning point. The company has resumed its normal production. I don’t think it’s necessary to announce every month sales figure because it couldn’t represent a company operational and future development. And also for example, in the past, we didn’t have a conference call every quarter, but right now we started to have a conference call as the things changed. For those social media and website, they released their sales figure at up to date, but we believe that we -- every quarter’s, every month’s numbers are not necessary to release to the public.
Unidentified Analyst: The investing public has been sticking this company for long time, its ups and downs. And every other major car company and also the smaller ones do publish monthly sales numbers. For us it is of immediate interest.
Hu Xiaoming: [Foreign Language] Like I said for month-to-month, the sales number can be different due to the seasonality. And if the monthly sales figure disclosure is required by SEC then I will do so, but also on the constraints since the difference in every month sales. If we announced that it’s going to impact somewhat the capital market stock's activity. So again, the management team has their belief that it’s not very necessary to announce every month sales figures.
Unidentified Analyst: Well, I understand the argument, but I would like you to consider once more, that having no reliable monthly figures, is impacting the share price performance much more negatively. And adding the second question, I know you already touched on this subject, but would it be possible to update us timelier on the progress of the various sales partnerships?
Hu Xiaoming: [Foreign Language] For the first question regarding your request to once again - to comfort with your - put out monthly figures, he still believes that it’s not necessary and you can get without monthly figure and it help stable the market. And to answer your second question with update with all the - other partners’ agreement, Mr. Hu’s answer is if we have any material progress, we will update the market.
Unidentified Analyst: Well, thank you for your continued efforts and looking forward to the next quarter and hopefully the sole emphasis 3100 sold EVs prove to be correct.
Operator: The next question comes from Mark Miller who is a Private Investor.
Mark Miller: Excellent quarter, just I have a one quick one here. On the last conference call, Mr. Hu stated that the $105 million supply chain financing sponsored by the Rugao government was only for EVs made in Rugao which now ensures Kandi will receive immediate cash for its Rugao parts sales? I have two questions from this. [indiscernible] If Kandi also shifts production of other EVs like the K27 to Rugao, will this also be covered in this, so are we doing this?
Hu Xiaoming: [Foreign Language] The government banks supply chain finance program is an indicator of government strong support. There are particular requirements for the new -- of $105 million in finance program. And also -- is specifically designed for the current EV model. So, the data company around the production according to the sale demand moving like its capacity efficiently. That's is answer.
Mark Miller: I have one more which EVs are currently active or being made in which of the four Kandi facilities.
Kewa Huo: [Foreign Language] The K17A and the K12 are the asset one. But going forward it's going to be K27 and K22. Even though each facilities from the JV Company hires primary model production. It will also work together with other facilities to manufacture the model that we are selling right now.
Operator: The next question comes from Mike -- of Oppenheimer. Please go ahead.
Unidentified Analyst: Thanks for taking my question. In the last filed 10-Q the company and Mr. Hu mentioned visits from three potential strategic partners together the recent valuation done on Kandi itself of RMB4 billion is $600 million USD which worked around 12.50 per share on Kandi alone. There was some confusion on this evaluation. Was this the value of just the JV or was it the value of Kandi including its share of the JV and why was this valuation commissioned and who did the valuation? Thank you.
Hu Xiaoming: [Foreign Language] Okay on the referring -- 8 plus billion is the valuation of Kandi Technologies Group, so it's not an estimate, this variation space on Kandi's actual asset and investment and so far, it has been acknowledged by the potential investors. I hope this qualifies.
Unidentified Analyst: Could you comment on the status of these potential strategic partnerships.
Hu Xiaoming: [Foreign Language] We have been having many ongoing conversations with these potential strategic partners because we didn’t have the normal production in the first half of the year, so the progress has been somewhat impacted. [indiscernible] will seek the best prospectors to work with these partners to maximize our shareholders and increase our market competitively.
Operator: This concludes the time allotted for question and answer session. I would like to turn the conference back over to Kewa Luo for closing remarks.
Hu Xiaoming: [Foreign Language] Thank you, ladies and gentlemen and friends for attending Kandi’s 2017 Third Quarter Earnings Call. In closing allow me to represent the Board of Directors and the management team and Kandi’s Technologies Group to reaffirm our commitment. We will continue to work diligently to maximize shareholder value by focusing on growing our EV business strategically, while delivering strong operational results. Thank you very much for your understanding and support. We look forward to talking with you the next quarter. If you have any additional questions, please don’t hesitate to contact our Investor Relations person. Good bye. Thank you.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.